Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2018 Amdocs Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Matthew Smith, Head of Investor Relations. Sir, you may begin.
Matthew Edward Smith - Amdocs Ltd.: Thank you, operator. Before we begin, I would like to point out that during this call, we will discuss certain financial information that is not prepared in accordance with GAAP. The company's management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effects of such events enables management and investors to consistently analyze the critical components and results of operations of the company's business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's earnings release, which will also be furnished with the SEC on Form 6-K. Also, this call includes information that constitutes forward-looking statements. Although we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but are not limited to, the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company's filings with the Securities and Exchange Commission, including in our Annual Report on Form 20-F for the fiscal year ended September 30, 2017, filed on December 11, 2017, and our Form 6-K furnished for the first quarter of fiscal 2018 on February 12, 2018. Amdocs may elect to update these forward-looking statements at some point in the future. However, the company specifically disclaims any obligation to do so. Participating on the call with me today are Eli Gelman, President and Chief Executive Officer of Amdocs Management Limited; and Tamar Rapaport-Dagim, Chief Financial Officer. With that, I'll turn it over to Eli.
Eli Gelman - Amdocs Ltd.: Thank you, Matt, and good afternoon to anyone joining us on the call today. We're pleased to report solid results for our second fiscal quarter during which we delivered strong double-digit growth in Europe, record revenue in the rest of the world and 12-months backlog, yet another new high. Additionally, we extended our technology leadership with the launch of AmdocsOne at Mobile World Conference in Barcelona and we utilized our cash to complete the acquisitions of Vubiquity and UXP Systems, both of which should be accretive to non-GAAP earning per share in our next fiscal year. I'll come back to these more strategic topics later in the call. But first let me provide you with some regional color with respect to our business activities during the second quarter. Beginning with North America, as expected performance were impacted by slower spending at AT&T. But our broader customer activity was solid and included the successful go-live of the B2B transformation project we announced with DISH last September and the delivery of radio access network optimization service for the Voice over LTE, VoLTE deployed in a leading U.S. wireless carrier. Regarding the outlook in North America, we are encouraged by the number of opportunities we see to support the future requirements of AT&T, our largest customer. Over the last several years, we have helped to enable AT&T's successful expansion into prepaid wireless in Latin America and video and we believe we have the acquired pedigree to bring continued value to this customer over the long term. Having said that, our operating plans for the next few quarters does not assume a major shift in discretionary spending on AT&T. And we also like to remind you that any potential business opportunity with Time Warner are not reflected in our outlook. Outside of AT&T, business activity in North America is relatively strong and as we offer our leading capabilities in three dimensions. Improved consumer and enterprise customer experience with digital modernization, support the convergence of traditional wireless and pay-TV providers and enable next generation infrastructure investment such as network functions virtualization or NFV and 5G. As an additional point, let me touch on T-Mobile proposed merger with Sprint, while it is a bit too early to assess the implication for this on Amdocs, we remind you that our view is that consolidation activity is often a source of new term uncertainty before long term opportunities present and we think this proposed deal is no exception. We believe our relationship runs deep in both T-Mobile and Sprint mainly due to the many years of value we have provided of these companies across multiple dimensions of their business. As such, we look forward to demonstrating the additional long term value we can bring to both customers as the merger approval process unfolds. To summarize North America, we believe we are at or near a low point in North America, although the pace of recovery remains subject to many moving parts and we may see some small near-term fluctuations in our sequential performance before stronger growth trajectory resumes. Moving to Europe, we delivered strong double-digit growth as we focused on project execution and winning new awards. Recent progress in the region includes the deployment of our artificial intelligence platform, aia, at the affiliate of one of Europe's largest operator and awards of new logos like KCOM in the United Kingdom, where we have been selected to provide an orchestration platform to enhance its next-generation service infrastructure. Additionally, I am pleased to report that two leading European operators initiated small paid NFV projects with Amdocs in quarter two. Regarding our outlook in Europe, we believe we are well positioned with the product and services offering that is highly relevant for the full service providers like Vodafone, which this week announced a deal to acquire some European assets from Liberty Global, as another step in its integrated carrier strategy. Overall Europe is on track to grow faster than the corporate average for the full fiscal year, although not necessarily at the pace of the second quarter. And we remind you that the sequential trends could fluctuate, given the project orientation of our customer activities in the region. Turning to the rest of the world, we delivered a record quarter that includes the ramp up of the seven-year project and managed services agreement we signed with PLDT in the Philippines earlier in the quarter. Additionally, we made an important step in Africa where we were chosen to provide our end-to-end revenue assurance capabilities to Safaricom, a major mobile network operator in Kenya with nearly 30 million subscribers. Overall, rest of the world is on track to grow in fiscal 2018 led by stronger trends in Southeast Asia as compared to Latin America. As a reminder, quarterly trends may also fluctuate in rest of the world primarily due to the project orientation of our customers' engagements. With my regional comments complete, let me quickly update you on some of our recent strategic initiatives. First, we closed the acquisition of Vubiquity for $224 million in cash earlier in the quarter. As we described last quarter, Vubiquity extends our move into the media and entertainment industry and position us to support customers such as Turner, for which we were recently selected to be the premium content digital distributor for over-the-top platforms. Second, we utilized another $80 million in cash to acquire UXP Systems, a leader in User Lifecycle Management. We strongly believe UXP brings innovative solutions that will reinforce our capabilities around the increasingly important theme of digital identity, user entitlement, personalization and privacy including content management. Both of these deals were designed to enhance our product and service capabilities in the area of digital and media and entertainment. In parallel, we strengthened our core products leadership by launching our next generation offering AmdocsOne at Mobile World Conference in Barcelona. AmdocsOne enables business-led DevOps deployment of cloud-native and microservices capabilities and is designed to accelerate the digital transformation of our customers with modular, functionally rich and with more predictable execution. To conclude my remarks, I would like to leave you with three key messages. First, we continue to believe in our unique business model, which supports our reputation for dependable execution and which is also pivotal component in our highly recurring revenue suite. Second, we remain committed to building the new engines that will sustain our market leadership position well beyond this fiscal year. These engines include our investment in pay-TV and NFV as we have discussed with you over the last couple of years and which we already augmenting with innovative solution in newer areas like media and entertainment and artificial intelligence. Third, we're raising the midpoint of our full year revenue growth to 3.25% primarily due to our recent acquisitions. Moreover, we are reiterating our expectations for diluted non-GAAP earnings per share growth in the range of 4% to 8% in fiscal 2018, which once achieved will mark the seventh consecutive year that we have delivered expected total shareholder return, including our dividend yield, in the mid to high-single digits. With that, I'll turn the call over to Tamar.
Tamar Rapaport-Dagim - Amdocs Ltd.: Thank you, Eli. Second fiscal quarter revenue was within our guidance range of $960 million to $1 billion but slightly the below the midpoint on a constant currency basis. After adjusting for the positive impact from foreign currency movements of approximately $5 million relative to the first fiscal quarter of 2018 and contributions from M&A consummated in Q2, we delivered total revenue of $992 million in the second fiscal quarter. Our second fiscal quarter non-GAAP operating margin was 17.3%, an increase of 10 basis points year-over-year and in line with the higher end of our long-term target range of 16.5% to 17.5%. Below the operating line, non-GAAP net interest and other expense was $200,000 in Q2, primarily reflecting foreign exchange movements. For forward-looking purpose, we continue to expect a non-GAAP net interest and other expense in the range of a few million dollars quarterly due to foreign currency fluctuations. Diluted non-GAAP EPS was $0.95 in Q2, $0.01 above the midpoint of our guidance range of $0.91 to $0.97. As we anticipated, our non-GAAP effective tax rate of 19.9% in Q2 was above the high end of our expected annual range of 13% to 17%. Diluted GAAP EPS was $0.70 for the second fiscal quarter, above the midpoint of the guidance range of $0.65 to $0.73. Free cash flow was $3 million in Q2. This was comprised of cash flow from operations of approximately $114 million, less $111 million in net capital expenditures and other, of which $81 million related to the multi-year development of our new campus in Israel. Adjusting for this capital expenditure, our normalized free cash flow was roughly $84 million in the second fiscal quarter. Additionally, our free cash flow in the second fiscal quarter includes an annual cash bonus payment for the prior fiscal year consistent with our guidance last quarter. DSO of 89 days increased by 3 days quarter-over-quarter mostly due to the consolidation of Vubiquity. We remind you that this item may fluctuate from quarter-to-quarter. Total unbilled receivables increased by $12 million as compared to the first fiscal quarter of 2018. Our total deferred revenue both short-term and long-term increased by $41 million sequentially in Q2. The net movement in unbilled receivables and total deferred revenue reflects the impact of acquisitions completed in the quarter, as well as a high level of transformational project activity and resulting timing differences between revenue recognition and the invoicing of customers during the second fiscal quarter. Our 12-months backlog, which includes anticipated revenue related to contracts, estimated revenue from managed services contracts, letters of intent, maintenance and estimated on-going support activities, was $3.32 billion at the end of second fiscal quarter which is up $60 million sequentially from the end of the prior quarter. Backlog for Q2 reflect acquisition activity which was completed during the quarter. Our cash balance at the end of the second fiscal quarter was approximately $667 million. This balance is actual payment for the acquisitions of Vubiquity and UXP System, both of which were completed during the quarter. We drew down $120 million on our credit facility during Q2 for short-term funding purposes and that balance has since been fully repaid. During the second fiscal quarter, we also repurchased $120 million of our ordinary shares. In total we have as of March 31 more than $800 million of authorized capacity for share repurchases to be executed as a company discretion going forward with no stated expiration dates. As a reminder, we retain the flexibility to vary the level of share repurchase activity from quarter-to-quarter depending on factors such as the outlook for M&A, financial markets and prevailing industry conditions. Now, turning to our outlook, we expect revenue to be within the range of $990 million to $1,030 million for the third fiscal quarter of 2018. Embedded within this guidance, we anticipate a negligible sequential impact in foreign currency fluctuations as compared to Q2. For the full fiscal year 2018, we now expect total revenue growth in the range of 2.3% to 4.3% on a reported basis, compared with our previously guided annual range of 0% to 4% and revenue growth in the range of 1.3% to 3.3% on constant currency basis, compared with our previously guided annual range of negative 1%, to plus-3%. The improved revenue outlook incorporates incremental revenue growth contribution of more than 1% from Vubiquity on both constant currency and reported basis. Additionally, we continue to expect a positive impact from foreign currency fluctuations of roughly 1% year-over-year for the full fiscal year 2018. Additionally, our fiscal 2018 revenue outlook continues to incorporate an expected drag of about 0.5% point from directory, which we anticipate will continue to decline in the full year. We continue to expect our non-GAAP operating margins to be within a range of 16.5% to 17.5% in fiscal 2018. We expect our quarterly non-GAAP operating margin to fluctuate to the higher end of this range in fiscal 2018. We expect the third fiscal quarter diluted non-GAAP EPS to be in the range of $1 to $1.06. With respect to Q3, we expect our non-GAAP effective tax rate to be at around the low end of our annual target range of 13% to 17%. Additionally, our third fiscal quarter non-GAAP EPS guidance incorporates an expected average yield to share count of roughly 144 million shares and the likelihood of a negative impact on foreign currency fluctuation in non-GAAP net interest and other expense. We excluded the impact of incremental future share buyback activity during the third fiscal quarter, as the level of activity will depend on market conditions. For the full fiscal year, we continue to expect to deliver diluted non-GAAP EPS growth of 4% to 8%. Our full year EPS outlook does factor in expected repurchase activity over the year. We expect the acquisitions of Vubiquity and UXP Systems to be neutral to our diluted non-GAAP earnings per share in fiscal 2018, and accretive thereafter. The impact on diluted GAAP EPS of the acquisition of Vubiquity and UXP Systems is subject to finalization of the purchase price allocation of the anticipated expense related to operating adjustments, restructuring charges and other acquisition related costs. To assist you in your modeling, we remain on track to generate free cash flow of roughly $400 million in fiscal 2018. This takes into account incremental capital expenditure in fiscal 2018 of around $100 million associated with the multi-year development of our new campus in Israel. The majority of which has already been deployed in our first two fiscal quarters. Adjusting for these capital expenditures, we continue to expect normalized free cash flow of roughly $500 million in fiscal 2018. As a final point, our cash level exit in Q2 is now closer to the minimum gross amount of approximately $500 million that we have previously said we need in order to respond to business fluctuations and smoothly fund operations. With this in mind, we plan slightly to moderate our pace of quarterly share repurchases in the fiscal second half, while we still expect to return approximately 100% of normalized free cash flow to shareholders for the full fiscal year. With that, we can turn back to the operator and begin our question-and-answer session.
Operator: Thank you. And our first question comes from Ashwin Shirvaikar with Citi. Your line is now open.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Thank you. Hi, Eli. Hi, Tamar. Good quarter results.
Eli Gelman - Amdocs Ltd.: Hi, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Let me start, Eli with you, you had the comment that when there is large M&A it can have some near-term weakness, although the longer term is good, but when I look at the rest of the comments in the prepared remarks that look at the metrics it would suggest quite the contrary that you are in actually a very confident position to offset any weakness that you might see. Am I reading that wrong? I mean it kind of felt like this is a pretty strong quarter in many different ways?
Eli Gelman - Amdocs Ltd.: So, Ashwin, you really (20:20) accurately. Look, we have quite a solid and a positive view on our business all around the world, including North America, including other places. We don't know really the specifics on M&A, especially the regulatory process. It's a horizontal integration, so the regulator may have different views, and I don't know that they really opined on it yet. And it may take some time. We believe that our relationship with both T-Mobile and Sprint is such that they know our capabilities and they would need to decide – and depends on the time it will take them to get this deal approved. They will need to decide in what to invest in the meantime. And there are, in our opinion, certain areas that you would like to invest anyway regardless if the merger goes through, would not go through, or maybe somewhere in between, maybe some concessions over there. And we will try to focus on those areas that will make a lot of sense for this company because I don't think they can really do nothing for the next, I don't know, a year maybe, maybe more than that. In terms of the long-term, let assume the deal goes through, we believe that this is – we're talking about the full-scale integrated carrier because T-Mobile already announced that they are going after the video, the Layer3 acquisition, and we know that they are investing in broadband, both companies. So we're talking about relatively sophisticated carriers. They are not just doing it for sake of savings, I would imagine. So as such, we believe our capabilities will be very relevant. If I'll give you another example of Vodafone and LGI, it's the same thing. Vodafone has been known for wireless company for many years and then basically follow our direction of the integrated carrier, the multi-play. And as such, they bought Ono in Spain and Kabel Deutschland in Germany and now LGI, and they had the project with Ziggo, which we are providing the infrastructure for. So we believe that this M&A, especially the M&As that are related to multi-play, again, can create some short-term challenges and maybe slowdown. But overall I think the fact that these companies need a lot of help in integrating companies and take them forward. There are very few companies that can help them, and we believe that we are either the only one or one of the very, very few that can do that. And other than these M&As, we see a lot of activities all around the world in all the domains, in the MSOs and cable industry, in the NFV, in aia, in digital, and that's before we start really gearing up on the content and media in all these companies. We are very happy with this extension and expansion of the relationship with Turner, just right after the acquisition. It means that people like Turner are not afraid, on the contrary, from the new ownership of Vubiquity, and that's before we went into other new areas. So that's kind of a long answer to your question, but the short and the gist of it is, yes.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay. No, that's really useful to get all the details. Really appreciate that. The second question is, and I don't mean to pick on just one particular press release out of many, but just looking at the KCOM partnership that you signed, would that be an indication that sort of the nature of the NFV market is beginning to change and it is kind of going from large carriers trying this out to be on pilot phase and maybe smaller entities kind of picking up on the functionality. Is that fair as to how the NFV market is evolving?
Eli Gelman - Amdocs Ltd.: So here I need to control my optimism and tell you that I believe that the answer is yes. I want to be careful because we said that we don't know how to predict the NFV rollout and pace and so on and so forth. But if in the same quarter we do KCOM, which is some sort of NFV project, and another unnamed, but serious European operators are having project with us. And I don't mind the fact that it starts small. It always starts small. And at the same time, we did not say it, again, but I will reiterate it. At the same time, everything that we started before is expanding, whether AT&T, and Bell Canada and Comcast and other places. So, again, it's hard to predict the size and the pace, but I think that your assessment that we see more people and not only the big guys and not only the heavy carriers, the fact that people are having more projects on NFV is a trend we see. And I hope that that's the beginning of a trend that will be consistent. But the short of it is, yes, you are right.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay, great. Thank you both. Thanks.
Eli Gelman - Amdocs Ltd.: Thank you, Ashwin.
Operator: Thank you. Our next question comes from Tom Roderick with Stifel. Your line is now open.
Matthew David van Vliet - Stifel, Nicolaus & Co., Inc.: Yes, hi. Matt van Vliet for Tom. Thanks for taking my questions. I guess following up on the NFV theme, I was wondering if you could give us an update in terms of where you are on the ECOMP program with AT&T specifically and looking at the ONAP overall in the industry. And what maybe your opinions are or what the carriers are thinking around standardizing on that side of technology or is it still sort of up in the air depending on the different carriers and what they want to do with the virtualization effort?
Eli Gelman - Amdocs Ltd.: So, Matt, it's a very good question. I believe that what we are seeing right now is the maturing of this process. And the way I would describe it is that not everyone want to – not everybody wants to be religiously following ONAP. But everybody understand that this open community is a good source for certain components. And so right now, what we see at Amdocs is that we had two flavors, people that want to commit more thoroughly, almost religiously to ONAP. Obviously, AT&T is a good example, Bell Canada maybe to a large extent is the case. But you have other people, I would refer to them that are loosely coupled or loosely following ONAP. So it's an ONAP-sponsored type projects. And we are very good with that as well, because: A, we have offerings that are not necessarily part of ONAP. We're basically an orchestrator that is not an (28:19), just a lighter version of it, that fits much smaller carriers and much less complex environment. And we have other components. Obviously we have services. So right now what we see is that we can cater to the different options. We see it as an advantage. I think the customers see it as an advantage that we don't force them into one direction, and they have the freedom to choose more tightly in implementation of ONAP or more loosely implementation of ONAP. And we are just good with that. And then just the carrier that you just mentioned actually, most of them are on the more loosely version of ONAP. And that's a trend more or less. And now we're adding services as we speak and not only the products, which is also a very good component because we believe in product and services. So that's kind of the trend we see. And the use cases are expanding also. Each one of them has their own view of where to start, which we like a lot, because we like to many use cases and then obviously duplicate them as we move forward around the world and within the same customer.
Matthew David van Vliet - Stifel, Nicolaus & Co., Inc.: And then looking at the pay-TV market, especially in North America where you've sort of renewed your interest and investments in trying to build that business back up, and I know you've talked about some good wins at some of the larger carriers. You've mentioned DISH again and then I think in the past you talked about Charter. Can you just give us an update in terms of where you think that business is going as we see more consolidation around both the video and mobile now and where ultimately you think Amdocs sits in the market to offering a truly converged carrier?
Eli Gelman - Amdocs Ltd.: So Matt, in terms of the MSOs we are very busy in execution as a matter of fact. We are executing at least six or seven different projects in parallel, all across North America, the DISH B2B just got to a very important milestone, so I'm mentioning it but there are other milestones to follow. We do that in four or five different MSOs, some of it we announced more officially, some of it less officially, but we are really, really active all around North America with MSOs. And it includes some areas are more focused on the B2B and the enterprise angle, some of them are more residential, some of them are more digital oriented, some of them are more network and NFV because the big MSOs are going after NFV as well. And aia (31:15). So we have a lot of domains which is very encouraging to me not only for the short term, it means we're talking about really major healthy provider of service. And we've been really a tiny player in this space for many years. So I see there's an opportunity to build growth engines for the company for the many years to come. And that's a trend, we see many type of projects, different depth, sizes goes from small to very large. So we've got the entire thing. And on top of that now we hope that we will have opportunities maybe with Vodafone and LGI because we have a very successful project with them in Ziggo, which is LGI entity in Holland that Vodafone could not buy per se so they created a joint venture, but the entire infrastructure underneath, the shared IT is Amdcos and we mentioned that before. I hope that they can maybe replicate it in some other markets because they're both like four or five assets in different geographies. We see some movement in Latin America in MSO space in Asia and that's before again I said a full introduction of Vubiquity and the value that we can bring to this company when we talk about the content. So altogether we are bullish on the MSO.
Tamar Rapaport-Dagim - Amdocs Ltd.: I think just to help you quantify it in terms of the opportunity, we were talking about the business that's already today comprises several hundred million dollars and can definitely generate double-digit growth over the years. So that's why we're so excited about it, that's why we see the depth of the opportunities that Eli mentioned across regions, across different names of customer accounts obviously enhanced by the fact we're seeing even a bigger shift of many telco players moving into more of an integrated carrier and pay-TV services.
Matthew David van Vliet - Stifel, Nicolaus & Co., Inc.: All right. Great. Thank you.
Eli Gelman - Amdocs Ltd.: Thank you Matt.
Operator: Thank you. Our next question comes from Jackson Ader with JPMorgan. Your line is now open.
Jackson E. Ader - JPMorgan Securities LLC: Hey, thanks. Good evening, guys.
Eli Gelman - Amdocs Ltd.: Hi, Jackson.
Jackson E. Ader - JPMorgan Securities LLC: First question if I could just actually follow-up on something that you said, Eli, in regards to Matt's question. The lighter version of the NFV orchestration layer, I just want to clarify is that for smaller carriers that want to do projects or can it also be used for larger or I think you said more serious carriers that are doing small projects?
Eli Gelman - Amdocs Ltd.: Both, the product itself is just structured differently in trying to address different markets. And we already have implementation of the life orchestrator in small carriers, but we also have the same orchestrator in a very, I'd call it large carrier with just simply requirements on the network. So I would say that volume is not something that worries us at all. Not to mention it's all virtualized and it's all cloud native. So the hardware and the assets that you need to support this is quite elastic, but both, this is actually a very good product that we came up with, and that was in parallel to the development of ONAP. We had a lot of design wins about it and we decided that it's something that we should do. And I think that now I can tell you that we were right.
Jackson E. Ader - JPMorgan Securities LLC: And I assume it's relatively easy as the customer if they choose to kind of ramp up that they can go to the more enterprise grade solution?
Eli Gelman - Amdocs Ltd.: There is a migration path, but usually if you get to the details you'll understand that usually the people that go with this orchestrated would not necessarily move to the full ONAP orchestrator in the near term, I mean like in the next few years. It's just that they are trying to solve slightly different problem, and this is a better solution. So I won't go into the details today, but I'll be glad to explain it some other time. But usually when people go into one direction, in almost all cases we offer a migration path to a big and more deeper product. That's also true with some of our BSS component. But in this specific case, it probably would not be needed. So if we start with a large carrier with this orchestrator, we can beef it up as much as they need based on stress test that we checked on many, many use cases that they would like to add in the future that are not in the production yet, but we can simulate it.
Jackson E. Ader - JPMorgan Securities LLC: Okay. All right. That is helpful. And if I can just squeeze one more in for you, Tamara. I think during your prepared remarks, either you or Eli mentioned that North America you expect this to be the bottom and see some growth going forward. Would that be the case even if we were to exclude the contributions from the recent M&A or are they kind of bolstering up our sequential growth here?
Tamar Rapaport-Dagim - Amdocs Ltd.: Yeah. The second is really true also after the M&A. And what we meant is we think about it as a U-shape, it's like we are at or close to the flattening and hopefully soon we will start to see the ramp up. Obviously, within the numbers, there are different moving parts, but that's the message we wanted to convey.
Jackson E. Ader - JPMorgan Securities LLC: Okay, right, cool. Thank you.
Eli Gelman - Amdocs Ltd.: Thank you, Jackson.
Operator: Thank you. And your next question comes from Will Power with Baird. Your line is now open.
William V. Power - Robert W. Baird & Co., Inc: Great, thanks. Yeah, I guess just a couple of questions. You also say a lot of different M&A activity. I guess on the European front where you had good growth, the question there now is in some respects Vodafone, Liberty Global, is there any way to kind of help us frame both kind of near-term risk and longer term opportunity, and I guess what I'm trying to figure out, I know Vodafone has been an important customer, but how much of your Vodafone relationship will be impacted by this. And I'm not sure how much if any work you're doing with Liberty Global previously, so trying to understand if that could be an upside opportunity? So anyway to kind of frame the risk and opportunity of that merger?
Eli Gelman - Amdocs Ltd.: Well, specifically, this specific merger is something that I would order, okay? If I could order a merger on Amazon, that's what I would do. And the reason is quite simple. We have a very strong and very deep relationship with Vodafone. We (38:53) for that and we're earning it, it's not like we were given this by the Queen or something. And we have this project behind us of several projects, both in Ono by the way in Spain and in Holland with the Ziggo. And then the same world strategy, which supports 100% the way we built our CS platforms. And at the same time, we don't have a lot of business; for LGI for historical reasons, not anything else. They were not in our focus many years, and so we have some business with them with Comverse that we acquired a couple of years ago and we support some of the mobility, but in general at the heart of their business, we're not very strong. And therefore it's something that probably has – in this specific case, probably have less risk and more potential, but I have to tell you it's way too early to bake into the numbers or whatever because these are your opinion and regulators, I'm sure that Vodafone made the homework and did not just buy that habitually, and they picked up specific markets for a reason, but they have to go to – I guess, the same story as you obviously are more familiar within the U.S. But I believe that, that potentially could be a very interesting thing for us and I believe it's another very good vindication that when we bet, bet is a strong word – but when we went big time into this multicarrier, multi-dimension, end-level hierarchies around CS9 four or five years ago and to support the multi-play naturally was a very good decision and these are the type of things that shows it. So I think, in general, it's a good thing.
William V. Power - Robert W. Baird & Co., Inc: Yeah, that's very helpful. Thank you. And then I guess my second question just on the latest acquisition I guess UXP, maybe I missed this, but any color on revenue contribution from that going forward. And, I guess, as part of that, backlog was up nicely. I guess I'm just curious how much of that was organic versus perhaps some coming from the two acquisitions? Thanks.
Tamar Rapaport-Dagim - Amdocs Ltd.: So, UXP is a great offering and that is fitting right on par with our strategy around the expansion of the importance of the identity of the individuals in the world of media consumption. And in terms of the numbers, it's less material. So, that's why we didn't refer to it. It's relatively a small company at this stage, but we believe that together with the breadth of the customers' opportunity that we have that we acquired through Vubiquity now, the opportunity is significant moving forward to create those synergies. But it will take some time naturally. Those kinds of opportunities usually have sales cycles, so therefore, not necessarily will make an impact this fiscal year. In terms of the backlog, it's included both the inclusion, primarily coming from the inclusion for the first time of the Vubiquity backlog as well as the great momentum we've seen such as the deal we signed with PLDT in APAC and others, so I would say it's both contributed by organic and non-organic aspects.
William V. Power - Robert W. Baird & Co., Inc: Okay. Thank you.
Eli Gelman - Amdocs Ltd.: Thank you, Will.
Operator: Thank you. I am showing no further questions at this time. I would now like to turn the call back to Matthew Smith, Head of Investor Relations for any further remarks.
Matthew Edward Smith - Amdocs Ltd.: Okay. Thank you very for joining our call this evening and for your interest in Amdocs. We look forward to hearing from you in the coming days. If you have any more questions, please contact us here at the Investor Relations group. And with that, have a great evening. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have a great day.